Katya Zhukova: Hello, everyone, and welcome to Yandex’ First Quarter 2019 Earnings Call. We distributed our earnings release earlier today. You can find this copy on our IR website as well as on newswire service. On the call today, we have Mikhail Parakhin, our Chief Technology Officer; Tigran Khudaverdyan, our Head of YandexTaxi; and Greg Abovsky, our Chief Operating and Chief Financial Officer; Arkady Volozh, our Chief Executive Officer; and Vadim Marchuk, our VP of Corporate Development, will be available on the Q&A session. The call will be recorded. The recording will be available on the IR website in a few hours. As usual, we’ve prepared a few supplementary slides, which are currently available on the IR website. Now, I will quickly walk you through the safe harbor statements. Various remarks that we make during this call about our future expectations, plans and prospects constitute forward-looking statements. Our actual results may differ materially from those indicated or suggested by these forward-looking statements, as a result of various important factors, including those discussed in the risk factors section of our annual report on Form-20F dated April 19, 2019, which is on file with the SEC and is available online. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. Although we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our views change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. During this call, we’ll be referring to some non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with U.S. GAAP. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is provided in the earnings release we issued today. And now, I am turning the call over to Mikhail.
Mikhail Parakhin: Thank you, Katya, and hello to everyone. We’ve had a strong start in 2019. In Q1, our consolidated revenue excluding Yandex Market grew 45% year-over-year. Revenues of Yandex properties excluding Yandex Market increased 28% year-over-year. Revenues of Yandex Ad Network excluding Yandex Market grew 15% year-over-year this quarter as a result of the growing contribution of small partners. Search and Portal segment demonstrated strong performance in Q1. Revenue grew 26% year-on-year primarily driven by solid performance of search, a result of ad tech improvement and continued search share gains. Record revenue growth rates of other Yandex properties were another driver of our core business revenue growth. Our experiments with direct on Yandex homepage contributed well to strong performance of Yandex Properties in Q1 and added approximately 2 percentage points to the growth rate of Yandex Properties revenues. Turning to our Search share trends. In March, our overall Search share continued to grow. We had 20 basis points compared with a year ago and reached 56.9% overall. Our Search share in desktop reached 68.5% in March, gaining 50 bps from December 2018 and 100 bps from a year ago. Our Search share on Android is 51.6% in March, growing 210 basis points from December 2018 and 480 bps from a year ago. Our Search share in iOS was 48.1% in March, up 10 bps compared to December 2018 and up 160 bps from a year ago. Our overall mobile Search share averaged 49%, increasing 390 basis points year-on-year. In Q1, mobile search traffic reached 51.8% of our total search traffic. Mobile revenues represented 44.6% of our search revenues. Revenue to traffic ratio demonstrated further improvement of 190 basis points compared to the previous quarter. Templates, which we’ve been rolling out since the end of last year were the main drivers of this improvement. Now turning to projects. To capitalize on growing consumption of online video, we recently launched a set of personalized dramatic video channels in Yandex.Drive. Over 20 channels devoted to music, your favorite TV shows, sports, humor, cooking and others are now available for our users. Yandex.Drive is just one of the components of the video platform that we built. As of today, our users have access to hundreds of TV channels right from Yandex homepage, thousands of licensed movies on KinoPoisk and then access to KinoPoisk content right from Yandex search result page. Although video currently accounts for a small portion of our total advertising revenues, it’s growing rapidly. We are committed to substantial investment in our audio-visual platform in order to provide users with the range of services that cover all possible video consumption scenarios. Last year in April, I told you that we’ve launched the transformation of our Yandex.Direct into a one-stop shop, which along with 10 base advertising started on banners ads on the platform. Yandex.Direct for banner ads allows advertisers to be able to beat for placements in Yandex advertising network based on e-shows, efficient impressions, rather than using traditional CPM model. And provides a number of automated tools for managing display campaigns more effective. Starting from March 2019, we went forward and added an opportunity to manage video and outdoor compliance right in Yandex.Direct. Outdoor is what I want to highlight. Approximately a year ago, we started selling digital outdoor based on OTS or opportunity to see basis, allowing advertisers to pay for real traffic, not impressions. Heading outdoor adoption to Yandex.Direct makes this set segment available for us and these [indiscernible]. Although the penetration of digital billboards is currently insignificant, it grows rapidly. The total outdoor ad segment averaged 7.4% of the total ad market in Russia in 2018. We believe that technological approach will revolutionize outdoor advertising segment in Russia in the long term. With this, I’m turning the mic over to Tigran.
Tigran Khudaverdyan: Thank you, Mikhail, and hello, everyone. In Q1, we delivered another solid set of results. Our revenues grew 145% driven by a rise of growth and the continuing incentives optimization. Adjusted EBITDA loss of Taxi segment was RUB 160 million in Q1, demonstrating slight improvement from Q4 2018. Adjusted EBITDA loss was a result of our investments in food delivery business and self-driving technology as we continue to demonstrate solid profitability in the ridesharing business in the Russian CIS. In Q1, the number of rides were up 64% year-on-year the slowdown from Q4 on a ride increased 112% year-over-year was the result of Uber integration in early February in 2018. JV grew faster than rides at high double digits as a result of (0:07:27) growth. Our gross commission revenue of our ride sharing business increased 99% year-on-year in Q1. Turning to food delivery Yandex.Eats, our food delivery service, continued performing well. In March, Yandex.Eats gross revenue run rate was RUB 3.2 billion, which includes commission and delivery fee but does not include milky (0:07:50) business. As of today we have over 9,000 restaurants connected to our platform across 24 cities. In Q1, we introduced paid delivery to be able to better balance demand and supply during peak hours without decreasing service quality. This also helps us to improve unit economics, particularly for orders with a lower basket size and commission fees. Since this launch, we haven’t seen significant change in the cohort’s behavior. Food delivery remains amongst our key areas of focus as we are confident in the great prospects of this business. On self-driving technology, on the back of our success at CIS in Las Vegas where we demonstrated our self-driving car in a completely autonomous mode without driver behind the wheel, we have signed an agreement with Hyundai Mobis, one of sizable automotive component manufacturer. Together, we plan to develop control systems for level 4 and level 5 autonomous vehicles as an out-of-the-box solution for car manufacturers, taxi fleets and car sharing services. In the first stage of our partnership, we will focus on creating driverless, prototype based on Hyundai’s Sonata. In 2019 we plan to launch 100 self-driving cars on the roads. Just recently, we received the permission to operate our self-driving cars on public roads in Israel. We are proud of the level of our self-driving technology development, which is hugely supported by the company infrastructure. This allows us to be in top five autonomous vehicle technologies globally. With this, I’m handing the mic over to Greg.
Greg Abovsky: Thank you, Tigran. And thank you all for joining our call today. We had a strong and a great start to the year. As Mikhail mentioned, our consolidated revenue excluding Yandex.Market grew 45% year-on-year in Q1. Online advertising revenues excluding Yandex.Market increased 25% year-on-year. Revenues related to taxi grew 145% year-on-year. Other revenues grew 325% year-on-year, primarily reflecting growth of Yandex.Drive. Total TAC increased 24% year-on-year and amounted to 14.3% of total revenues, down 190 bps from Q1 of 2018 and down 160 bps sequentially. Traffic acquisition costs related to partner advertising network grew 14% year-on-year. Traffic acquisition costs related to distribution partners increased 50% year-on-year as a result of continuing growth of Android. In Q1, distribution TAC averaged 8.2% of Yandex.Properties revenues which is 30 basis points higher than in Q4. Turning to our cost structure. In Q1, total OpEx excluding TAC and G&A grew 44% year-on-year, excluding stock based comp and operating expenses increased 45%. The increase reflected the growth of cost related to taxi, primarily driven by B2B taxi services that we’ve reported in gross basis, and our food delivery business, as well as costs related to the growing fleet of Yandex.Drive. As of March 31, we had 8,629 employees, down 2% compared to December 31. This decrease mainly reflects headcount reclassification, which we continue to implement for certain support functions to ensure consistency in internal reporting. On a year-over-year basis, our headcount was 6% higher. In Q1, our personnel costs amounted to 20% of total revenues. Stock-based comp grew 30% year-on-year in Q1 and constituted 5.7% of revenues. G&A expense in Q1 increased 13% year-over-year. Our consolidated adjusted EBITDA excluding Yandex.Market grew 37% year-on-year. This quarter, the impact from ForEx was a loss of RUB 279 million related to the appreciation of the Russian ruble during Q1 from RUB 69.5 to $1 to RUB 64.7 to $1. Adjusted net income was up 36% year-on-year. Adjusted net income margin was 14.6%. Excluding Yandex.Market, adjusted net income was up 49% from Q1 2018. Our CapEx was 5% of total Q1 revenues. On an annual basis, we expect our CapEx excluding new HQ expenditures to be in the low teens as a percent of total revenues, same as what we’ve said previously. Driven by the rapid growth of our business, we always consider potential changes to our segment structure and our financial disclosures. This would enable us to better reflect our view of the business and its development strategy. Starting in Q1, we introduced the following changes to the segment structure under which we report our quarterly financial results. We moved Geolocation Services and Yandex.Education from Search and Portal segment into the newly created Other Bets and Experiments category, while adding Yandex.Health, which we previously reported in Experiments into the Search and Portal segment. We renamed the Experiments into Other Bets and Experiments, which will now includes Zen, Yandex.Drive, Geolocation, Yandex.Cloud and Yandex.Education. Now, let me turn to the performance of our business units. Search and Portal revenue grew 26% year-on-year in Q1 under the new structure. This is in line with a 26% growth posted in Q4 2018. Sales of hardware devices contributed approximately one percentage point to revenue growth rate in Q1. Our adjusted EBITDA of Search and Portal grew 22% year-on-year in Q1 and its adjusted EBITDA margin was 47.4%, down 150 bps compared with Q1 of 2018, reflecting primarily the sales of stations and phones. Excluding IoT, adjusted EBITDA of Search and Portal was 48.4%. On an annual basis, we anticipate adjusted margin of Search and Portal to be 100 to 150 bps lower compared to 2018 due to investments in IoT. Excluding IoT, we expect adjusted EBITDA margin of Search and Portal to be roughly flat compared to 2018 levels. Turning to Classifieds. Revenue of Classifieds business grew 57% year-on-year in Q1, mainly driven by revenues from listing fees and VAS, which grew 94% year-on-year. Adjusted EBITDA of Classifieds was negative RUB 328 million, primarily due to investments in advertising and marketing. Turning to Media Services. In Q1, Media Services revenue grew 74% year-on-year, mainly driven by subscription services and video advertising as a result of the continuing integration of [indiscernible] into Yandex’ ecosystem. Commissions from ticket sales also contributed to Media Services revenue growth, though to a lesser extent. Media services’ adjusted EBITDA loss was RUB 440 million on the back of increasing content investments. On Other Bets and Experiments. In Q1, revenues of Other Bets and Experiments primarily represented by Yandex.Drive, Zen, Geo Services and Cloud reached RUB 2.5 billion and grew 218% year-on-year, primarily driven by Yandex.Drive, Zen and Geo Services. Adjusted EBITDA loss of Other Bets and Experiments was RUB 1.2 billion, primarily reflecting our investments in Yandex.Drive and Yandex.Cloud. We’re continually seeing great momentum in our car-sharing service. Yandex.Drive became the first service in the world to offer up-front pricing, leveraging our expertise in navigation and real-time traffic information. Recently, we also expanded our cargo segment into Saint Petersburg. On regional expansion, we announced Yandex’s Drive launch in Kazan, one of the largest cities in Russia. As of today, Drive’s fleet stands at 9,500 cars, while the number of rides completed stands at about 16.5 million rides since launch. It’s also worth mentioning that despite rapid car fleet growth, our utilization rate has held steady proving there’s further room to grow and we’re far from saturation. Zen continued to gaining traction. In Q1, we introduced the new machine learning based recommendation algorithm called [indiscernible]. As a result of this new-tech improvements, the time spent per day grew 20%. Zen continued to invest in its publisher content platform. In March, for the first time, clicks to Zen’s publisher content exceeded clicks to journal sites. In addition to Opera, we extended our partnerships with browsers, integrating Zen into the start page of Coc Coc. Coc Coc is one of the most popular web browsers in Vietnam, serving about 24 million users monthly. This is our first platform integration in Southeast Asia. In March, Zen’s annualized revenue run rate was RUB 6.6 billion, growing 59% year-on-year. Our Geo Location Services has been developing very rapidly. On the previous earnings call, we talked about the opportunity to refuel a car through Yandex.Navigator app without getting out of your car. It’s worth mentioning that since the launch of this feature in December 2018, users have spent over RUB 1 billion pumping gas with Yandex.Fuel. On the logistics side, we continue developing our routing B2B platform, expanding list of customers. Recently, we added Sberbank, Baltica and Inconos to Yandex’ routing platform. However, as of today, the main monetization model of our Geo Services is still advertising. In Q1, Geo Services doubled its revenues again. Getting back to corporate matters; we ended the quarter with approximately RUB 73.6 billion in cash and cash equivalents, which is approximately $1.1 billion at the exchange rate as of March 31. This includes the cash of Yandex.Taxi, which amounted to RUB 26.2 billion. Turning to guidance. Based on our recent strong performance, we’re increasing the outlook for our Search and Portal business and expect it to grow in the range of 19% to 21% year-over-year in 2019. Excluding Yandex.Market from 2018 results, we now increased the outlook for our consolidated revenues and expect it to grow 32% to 34% in 2019 compared with 2018 levels. With this, I’m turning the mic over to the operator for the Q&A session.
Operator: Thank you. [Operator Instruction] And your first question is from the line of Ulyana Lenvalskaya with UBS. Please go ahead.
Ulyana Lenvalskaya: Thank you. Hi, everyone and congratulations on strong numbers. My first question will be on this segment reporting change. Greg, what is the logic in kind of shifting this education and health from Search and Experiments? Can you elaborate a bit?
Greg Abovsky: Hi, Ulayana, it’s Greg. The logic was the following; Yandex.Health is more and more integrated into the search portal and has really become just another vertical within Yandex Search segment, whether it’s the search app or our site. With respect to education here, we are slightly more optimistic about its prospects and are really viewing it as a potential platform in which we can build the education platform for the country both in terms of lower schools, in terms of after school training, in terms of more professional training, and we see different opportunities to expand that and so that’s – that was kind of the fundamental logic. And with respect to your geolocation services, that’s also growing rapidly. And to segment that we kind of don’t want the results of that segment to distort the results of Search and Portal.
Ulyana Lenvalskaya: Thank you. And can you please comment on the EBITDA guidance in other than Search segment, i.e. Taxi, Classifieds and Media?
Greg Abovsky: So I would say that broadly speaking, I would say, our guidance hasn’t really changed from what we’ve talked about previously on the Q4 2018 earnings call. The real change, I would say is with respect to Taxi where we feel quite good about the performance of the ridesharing business and we think that should be profitable throughout the year. The magnitude of the investment into each segment, I think, will vary based on the competitive situation. And I think we have sort of a lot of fire power to and does aggressively in that business. And I think some of the latest rounds of financing in the self-driving space. And at the same time, the pace of innovation that we’re able to drive makes us very excited about that. What I should say is, we are on track to have approximately 100 self-driving vehicles. We expect to report a more concrete milestones about miles driven and things like that over the course of the year. And so we think that we can have a real gem with the self-driving segment. And the only other change, I would say, outside of taxi is that I think increasingly, we are happy with the strategy progression that Media Services and we look to invest slightly more in content than we previously thought but those sort of things at the margin.
Ulyana Lenvalskaya: I think it – so just to confirm on Taxi, do you still expect a lot for the year or not?
Greg Abovsky: So if you’re talking about the Taxi segment itself, I think that will depend on the magnitude of investments into each segment. If you’re speaking about the specific ridesharing business, we’re confident that ridesharing business right, Yandex.Taxi ridesharing business will be profitable over the course of – in 2019. And I should reiterate, once again, that it was also profitable in Q1. So if you’d look at the public comps out there of ridesharing businesses, I think this is probably the only one of any scale that is handsomely profitable in its markets.
Ulyana Lenvalskaya: Thank you. I’ll pass the floor to other analysts.
Greg Abovsky: Thank you, Ulyana.
Operator: Thank you. Your next question is from the line of Cesar Tiron from Bank of America. Please go ahead.
Cesar Tiron: Yes, hi, everyone. Thanks for the call and thanks for the opportunity to ask questions. I have two questions. The first one is on online advertising, you really seem to be getting market share, how far do you believe online advertising grew in Q1 in Russia? And what do you think that explains this market share gain in Q1, and also potentially, in Q4 last year? Second, getting back to Taxi, can you please give us some color on the progression of the right hitting margins, do you see those increased in Q1 versus Q4? And also can you please elaborate a little bit on how much you spent on food delivery in Q1 look like the main competitor spent about RUB 3 billion in Q1 in terms of cash OpEx. Is yours higher or lower than this? Thank you so much.
Mikhail Parakhin: Hi, Mikhail here, I’ll take the first one and maybe Greg will take the second one. So on specifically, growth for online advertising market, well, we think we are sort of growing within the bounds of how the whole market is growing. Of course, there’s a bit of volatility from quarter-to-quarter. There are always some headwinds. But broadly speaking, if you look at our performance here for the last few quarters, it’s been fairly consistent. So probably that’s how the market grows. What – in terms of what drove the improvement, well, you might have noticed that we continue to improve monetization of our mobile share and the base time again to reiterate did grow another 190 basis points on the back of 320 basis points sequential improvement in Q4. So – it’s of course, ad tech improvement, it’s our new visual representation of ads, things for like templates that we’ve been talking about for quite awhile. This time, there have been two very successful ones. One call outs and the other ones are called Google ads. So they kind of combination of factors, I guess.
Greg Abovsky: Hey, Cesar, it’s Greg. On the question of ride-hailing margins, they – I can confirm that they’ve improved sequentially. On the question of each – the magnitude of the investment, obviously, for competitive reasons, I wouldn’t want to go into it other than to say that they, in the grand scheme of things, they weren’t as large as the numbers you were throwing around, they were considerably lower than that.
Cesar Tiron: Thank you so much, very clear.
Greg Abovsky: Thank you.
Operator: Your next question is from the line of Miriam Adisa of Morgan Stanley. Please go ahead.
Miriam Adisa: Hi, everyone. Two questions for me. Sorry if I missed it, but could you provide the GMB run rate for Taxi for the model or the quarter? And then also on Taxi, how should we think about the progression of commissions and also prices, particularly in St. Petersburg in light of a new competitor entering those markets. And then my second question is on Yandex.Plus, if you could just talk about the take up of facts of this in light of the fact that you’re – you’ve been adding the new products to that service over the last couple of months. Thank you.
Greg Abovsky: Hey, Miriam. So let me take the question of pricing and competitive position. We haven’t really made any significant changes to our pricing or commissions of either in Moscow or Saint Petersburg. We’re very happy with kind of the way that things are and what we’re seeing in that market. We have an updated GMB run rate but just to remind folks, the last time we gave it was of December run rate, and that was about 4.2 billion. And then onto your second question about Yandex.Plus, that service has been growing very nicely, there’s quite a number subscribers. And just the other day, we announced a partnership with two of Russia’s leading banks, Tinkoff Credit Systems as well as Alfa Bank and we launched a co- branded Yandex.Plus credit and debit cards with two of those banks. And its a fairly unique product in the market and that it offers you extremely generous cash back on a number of Yandex services, 15 services to be exact, making our product much, much cheaper than anybody else’s for anyone who is a subscriber. And obviously, the subscription price itself is actually refunded back to you, to the extent you have certain minimum spending requirements on that card. So far, over the two days since we launched, we’ve seen absolutely tremendous response for that product and we’re very excited about it. So I think Yandex.Plus is a really, really good product, it really ties people into the entire Yandex ecosystem. And gives an even more reason to use more and more of our services, whether it’s food where you can also now have 5% cash back if you use these co-branded debit or credit products or Yandex.Taxi, which offers 10% cash back and obviously, these are funded by our partners.
Miriam Adisa: That’s great. Thank you.
Greg Abovsky: Thank you.
Operator: Thank you. Your next question is from the line all of Slava Degtyarev from Goldman Sachs. Please go ahead.
Slava Degtyarev: Hi. Thank you very much for the call. A couple of questions on Taxi. So firstly, on the Taxi revenue growth, should we expect a place of deceleration higher compared to the previous quarter given the base capital for all that the fact that you increased the take rate starting from Q2 last year? So do you think it’s going to be a sizeable schedule for you in the coming quarters or you see some offset in fact as potentially? And secondly, presumably, you have looked at that the prospective of food and lease, maybe there are any comments that you can share on some of that rate of financial metrics, how Yandex.Taxi looks versus U.S. deals that you command. Thank you very much.
Greg Abovsky: Hi, Slava. So in terms of growth rates, yes, we should expect slow down in Q2 and further – and going forward, I still think that this is going to be a rapidly growing business. I think it meets a real need for consumers and it offers much better value than owning a car. I think between public transportation, car sharing, ride sharing, anything in the sharing space, if you will, is more economical. And I think more people will shift towards it. But numbers are getting quite large now, I think we posted a very nice quarter this past quarter and it will get harder and harder to compounded those rates. That having been said like just to reiterate it one more time, we do expect that this segment will continue growing nicely. And then on the question of the prospectuses. Look, I think we feel really good about our business, just to reiterate again. Here, you have a business which grew its top line 145% in Q1, where the core ridesharing business is profitable even if you include all of our expansion markets. And if you focus just on the Russian market, it’s very profitable. And we have a massive ecosystem behind this ridesharing business, which makes the value proposition to consumers even more attractive.
Slava Degtyarev: Thanks very much.
Greg Abovsky: Thank you.
Operator: Thank you. Your next question is from the line of Lloyd Walmsley of Deutsche Bank. Please go ahead.
Lloyd Walmsley: Thanks. I’m wondering, Greg, where do you see long term margins in the Taxi business? Is there any mix that you can share it out margins in more mature regions that might give us a sense for where long term margins could get in that business. And then second one, if I can, just can you give us an update on how you’re thinking about a potential IPO for the Taxi segment? What the timing might be there and hurdles to getting something done there.
Greg Abovsky: Hey, Lloyd. So look, on margins, I don’t really think I want to go out there and tell you what our margins are going to be going forward. But as I said before, we think that margins in this business should be high. This is a marketplace business, which should exhibit excellent margins, is that sort of one way of approaching it. The second way of thinking about it is the marginal cost of a marginal ride, which as you can imagine, is quite low. And that also tend to contribute to fairly high long-term EBITDA margins. On the question of timing and how we’re thinking about it. Look, we think that it’s definitely something that we’re considering, we haven’t made a decision yet on timing. We do want to get this business ready. So it’s in a position at which point, we can sort of just press the button when the timing is right. But I think, we’re very happy with what we’ve achieved. We’ve recently brought on a CFO for the Taxi segment, someone who has a fairly extensive finance experience. And so I think, we feel really good and at some point, we’ll make a decision on timing.
Lloyd Walmsley: Great. Okay, thank you.
Greg Abovsky: Thank you.
Operator: Your next question is from the line of Masha Kahn of HSBC. Please go ahead.
Masha Kahn: Hello and congratulations and great sort of numbers. I’ve got a couple questions. One, on your Uber Russia brand and how that’s differently positioned than your Yandex.Taxi brand? And second very much on your freight business that you launched, is it just a pure cargo service? Or is there broader aspiration similar to Uber Freight? Thank you.
Tigran Khudaverdyan: Hello. This is Tigran, CEO of Yandex.Taxi. So related to the Uber positioning, we are – so we would launched last quarter, several experiments. One of them fortunately is Uber night experiment when we drop prices for night ride for our customers and promote that on TV companies and on internets, and we immediately see a big impact on the share of the Uber rides in our business. So we are experimenting here but more or less, Uber customers are more – so Uber customers in Russia in our markets are more young people. To the Cargo business, I think probably, it could associate on the Yandex.Drive cargo, which is launched I think a quarter before. Yes. And in Yandex.Taxi, we haven’t launched any cargo service nor redeem. Probably Greg can add something about cargo in the right.
Greg Abovsky: Yes. Hey, Masha. On the cargo segment, as you know, we launched initially this in partnership with IKEA. And that has been very successful launch in Moscow, and we are following that up with another launch in St. Petersburg now.
Masha Kahn: Greg, just to follow-up and Tigran, I thought out something in the Yandex.Taxi segment where the drivers can just pick up a truck and drive it away. Is that Drive or is it part of Taxi. I’m a bit confused about that.
Greg Abovsky: That’s part of Taxi, but there’s not enough updates about it as of yet, we’ll sort of update you over the course of the year as this business develops.
Masha Kahn: Okay, thank you.
Operator: Your next question is from the line of Sebastian Patulea of Jefferies. Please go ahead.
Sebastian Patulea: Good afternoon, thank you for taking my questions. I’ve got two, please. The first one is regarding your self-driving business. And another detriment that it find the decree to allow autonomous vehicle testing on the streets of Moscow and [indiscernible]. Can you please tell us about your first steps in this direction? How big would you like to go with this experiment here? You mentioned 100 cars. What would be distance between Israel and Moscow, how that going forward? And I believe seven companies already announced, they will start to think self-driving vehicles in these two regions. And would you ask for outside capital to share some of these risks as some of your peers are doing such as way of Uber? And the second question regarding Turkey in Yandex, the Russian direct investment fund is planning various deals and internet projects in Turkey and they specifically mentioned Yandex as a key beneficiary. And the fund agreement was signed in the presence of Turkish President Erdoğan and Russian’s President Putin which talks briefly about its importance. So was Yandex part of the initial discussions? And if you were, can you please share more details regarding the nature of these projects? Thank you very much.
Tigran Khudaverdyan: Let me take the first question, this is Tigran, related to the self-driving. Of course, one of the key challenge for this year always to increase the fleet size to the – up to the 100 vehicles. The goal is to gather as much data as it possible by increasing the number of the vehicles. We have a very pretty good relationship with regulators, with the government in Russia. And as you know, something like six months ago, regulators allows to make an experiments on the public roads seen in Russia. And we may use this opportunity also, we’ve got license to operate in Israel. Also on public roads and we will – we are going to have several vehicles, few vehicles seen in Tel Aviv. Related to the additional investment, I think we do not expect any significant increase in investment this year in self-driving technology and the team is more focused on technology side and entrepreneur side, that’s it.
Greg Abovsky: Hi, Sebastian, on the question of Turkey. Yes, as you know, we do have a presence in Turkey. Our presence there is around Yandex.Navigator, which is a very popular app there as well as Search, which is still present although our market share is quite low. So that’s a – that’s a small segment of our business that we do have. As far as government statements, I think that, that’s something that I will need to speculation around that.
Sebastian Patulea: And if I can follow-up, please, were you guys involved in any of the initial discussions? Or is this the first time that you heard about it was in the press? Thank you very much.
Greg Abovsky: And I think, again, as I would say that, yes, this is something that we really don’t want to comment on since we’re not involved.
Sebastian Patulea: Thank you.
Operator: Your next question is from the line of Vladimir Bespalov from VTB Capital. Please go ahead.
Vladimir Bespalov: Hello, congratulations on very good numbers, and thank you for taking my questions. My first questions will be again on Taxi business. First, I would like to ask about the B2B segment, and how big is the impact from this segment, especially given that the revenue recognition from this segment in the Taxi business is quite different? Maybe you could comment on this. And the other one on the Taxi business is about food delivery. It seems this part of the business is getting bigger and bigger, are you considering and like separating it into a separate vertical and at some point, especially given that potentially you might have a night view of taxi and it would make probably this business look better from be profitability perspective? And one more question that I have is on Yandex market, you didn’t show anything. in your review from Yandex market apart from the share in net losses and based on that, I estimate that the full quarter loss of that business was about RUB 1.4 billion, could you please update what is going on there? How you see this business developing and your partnership with better bond concern? Thank you.
Greg Abovsky: Hey, Vladimir. let me try to take those. On the taxi B2B segment, this has been extremely successful segment for us. We recognize revenues in this segment, I think similar to the way that Lyft and Uber recognizes revenues there, which is we recognize them on a gross basis, means the entire GMV of the ride gets booked as of GAAP revenues. And then the cost of the ride, cost of goods sold is essentially the – whatever we pay out to the driver, less our commission, right? And so that’s the B2B segment, it’s growing rapidly for us, it’s doing great. I think we have matter of over 5,000; I want to say, corporate clients and I think revenue growth rates there are close to 200%. With respect to food delivery business, it is something that we are considering breaking out in more detail over time, especially as it continues to grow. Food grew close to 1,000% year-over-year for us in Q1. So, it’s a rapidly growing segment, and it might make sense to provide more disclosure around it. Finally, on your question around Yandex market, in this instance, this is a segment that we do not consolidate, right? And therefore starting, with this year, we made a decision to only report it based on our proportional ownership of that segment in the other income line. And so going forward, you should expect to see that disclosure into the extent of the Yandex market team will provide disclosures from time to time and conferences are such that’s something that they will provide as they feel comfortable.
Vladimir Bespalov: Okay. thank you very much. But on the B2B segment, again, given that you effectively book GMV, going forward to the comparison could be distorted a little bit, because we will not be comparing apples-to-apples, right? And this will inflate the growth for your taxi business for the revenue. So, are you going to provide this to run separately just to give us a better understanding of what is driving the driven expense for the taxi business? Thank you.
Greg Abovsky: Sure. Again, this is consistent with the representation of these segments for all of our public competitors or soon to be public competitors. And this is the requirements of U.S. GAAP, right? This is relatively small segment for us. Even though it’s rapidly growing, as I said, it’s still relatively small. The overall growth that we posted is a function of the growth of the core ride sharing platform.
Vladimir Bespalov: Okay. thank you very much.
Greg Abovsky: Thank you.
Operator: Your next question from the line of Maria Sukhanova of BCS. Please go ahead.
Maria Sukhanova: Hi, guys. good afternoon. I have three questions. First, on ad revenue. Have you noticed any change in the growth rate throughout the quarter? I’m asking because your competitor this morning said that these are not – there is like a slow start of the year for growth, relatively our vendor was an exploration. I wonder if you’re seeing the same. Second, on your new headquarter costs, are you ready to share with us any data points on that, like what do you expect for this year and onward and if not, when do you think you’ll be ready to share with us any data points on that, like what do you expect for this year and onward? And if not, when do you think you’ll be ready to share with us? And third question, on Yandex.Station, that must be cursed. Judging by the data, it seems like you sold like 20,000 smart speaker in this quarter, either around or like is it close to reality? And if you could share with us and your insights that you see in this because in the smart speakers, like what people use it for? Who are these people? Are they wealthy or not? Anything like that would be very interesting. Thank you.
Greg Abovsky: Hey Maria, I’ll take the second question. I’ll pass it over to Mikhail for first – your first and your third question. Look, we’re not providing any updates on HQ. Costs, we will provide when we will actually start construction and get all the permits in place and so on. But as we’ve said before, we expect this to be a very attractive use of capital from the point of view of our shareholders and we’re excited about the possibility of building sort of a world class technology company headquarters in the heart of Moscow. Let me pass on to Mikhail.
Mikhail Parakhin: So on the market, again, first. As I said previously, there are always headwinds. And in some performance based advertising performs better and other situation, display based advertising performs better. Our mix, as you know is heavily skewed towards performance based. I would say, it was very pretty flat, pretty uneventful for us the last few quarters. We didn’t see too much fluctuation but of course, the mix keep changing and you can – I don’t think you should read too much into short term volatility. On Alice, well, I’m going to go in here and say that 20-K is very low, it actually, it’s way to conservative number. On the demographics, what we see, actually, the different of people there, of course, sort of first adopters on urbanites that go for more expensive versions. We had some bundled deals with the cheaper speakers that were bought by all kinds of people. We see very similar trends in terms of the usage with the rest of the world with the exception of video and general conversation compared to other examples of smart speakers as you might know about. We have compared to a larger proportion of video – credits and video consumption because we – our main a flagman sort of flagship speaker has HDMI output and can stream video. And also, a bit unique among big players is that we have this conversation mode and we have very long session sometimes. In general, I would say, maybe it felt that the sessions are just people sort of chatting and complaining and joking and cursing and things like that. So we’re trying to interact it as if it were a human being. Of course, kids are very good with it, kids use it than to use more than adults. Adults tend to have more sort of transactional thinking or turn on, turn off, play that, that’s good, that’s not good. Kids are much more creative and ask many more questions. So broadly similar to what you see in the United States with certain specifics that we have video output, so streaming is much more heavily used and also conversation mode.
Maria Sukhanova: That’s very helpful. Thank you.
Operator: And your last question is from the line of Sergey Libin of Raiffeisen Bank. Please go ahead.
Sergey Libin: Alright, yes, hello. A short clarification question, please. On your Search and Portal revenue growth guidance, is it inclusive or exclusive of Internet of Things? And another short one, did you spend any cash this quarter on share buybacks. Thank you.
Greg Abovsky: Hi, Sergey. On Search and Portal, it is inclusive of devices, IoT. And you should be able to more or less back into what it is without them, assuming that these are basically sold at zero or slight negative margin. And we obviously given your guidance around what we expect margins to be excluding IoT. And then in terms of share buybacks. No, we haven’t used or the cash on hand to buy back shares. Both the share balance – the cash balances of built both at taxi and that Yandex proper.
Sergey Libin: Thank you.
Greg Abovsky: Thank you.
Operator: And there are no further questions at this time. Please continue.
Katya Zhukova: Thank you, all, for joining our call today. Our next earnings call will take place as usual in late July 2019. And we hope to hear you all there. Please feel free to reach out with any questions that may occur. Thank you, goodbye.